Operator: Thank you for standing by. This is the conference operator. Welcome to the Extendicare, Inc. Third Quarter 2024 Analyst Conference Call. As a reminder, all participants are in a listen only mode and the conference call is being recorded [Operator Instructions]. I would now like to turn the conference over to Ms. Jillian Fountain, Vice President and Investor Relations. Please go ahead, ma'am.
Jillian Fountain: Thank you, operator. And good morning, everyone. Welcome to Extendicare's 2024 third quarter results conference call. With me today are Extendicare's President and CEO, Michael Guerriere; and Senior Vice President and CFO, David Bacon. Our Q3 results were released yesterday and are available on our Web site as is the live audio webcast of today's call along with an accompanying slide presentation. An archived recording will also be available on our Web site following the call, as well replay numbers and passcodes have been provided in a press release to access an archived recording until midnight on November 29th. Before we get started, please be reminded that today's call may include forward-looking statements as well as non-GAAP and other financial measures. Such forward-looking statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. We have identified such factors as well as details of non-GAAP and other financial measures in our public filings with the securities regulators and suggest that you refer to those filings. With that, I'll turn the call over to Michael.
Michael Guerriere: Thank you, Jillian. And good morning. Yesterday, we reported robust third quarter results with all of our operating segments contributing to strong earnings. The momentum we have seen in recent quarters, which continued in Q3, demonstrates the success of our strategy and points to our future growth potential as we work to address the increasing needs of an aging demographic. Margins in long term care continued to improve with the return to full occupancy levels and normalization of our cost structure. In addition, Alberta and Manitoba announced 2024 funding increases in the quarter, which added to the direct hours of care and addressed operating cost inflation. The funding changes were retroactive to April 2024 with approximately $1.8 million of prior period funding recognized in this quarter. We appreciate the continued government support and funding for additional staff to enhance service delivery. On the home healthcare front, we saw a 10.2% year-over-year increase in average daily volume as well as a modest sequential improvement in ADV. This is notable because the seasonal softness we always encounter in the summer months was this year more than offset by increasing overall demand, matched by our increased capacity, which was enabled by our successful recruitment and retention programs. Our managed services segment also delivered strong results, primarily on organic growth and SGP, supported by the full impact of the Revera and Axium transactions that closed in August of last year. Compared to the prior year quarter, we saw an 11.4% increase in the SGP customer base to approximately 143,500 at the end of Q3. The continued growth in our managed services segment is core to our strategic focus on expanding the service side of our business. We've also been busy realigning our capital structure to provide additional flexibility as we pursue our growth agenda. To that end, we established a new $275 million senior secured credit facility and announced the early redemption of our convertible debentures that would otherwise have matured in April 2025, both of which David will speak to in more detail shortly. On the next slide, our Q3 results reaffirm the benefits of our strategy to grow our services segments while continuing to pursue long term care redevelopment through a less capital intensive higher margin business model. Growth in both the managed services and home health care segments has continued organically, driving increases in both revenue and EBITDA. On the redevelopment front, we now have six homes under construction in Ontario with the recent commencement of a 256 bed home in St. Catharines in September. Two additional projects are slated to start construction before the end of this year. Extendicare's balance sheet remains strong due to cash flow from operations and recycling of capital from the sale of vacated C homes to fund our 15% equity share in the joint venture with Axium. This, together with the flexibility afforded by our new credit facility and early redemption of the debentures, provides us with significant latitude in our ongoing capital allocation decisions. This is exemplified in our trailing 12 months payout ratio of 57% after removing onetime funding received over the past year. Turning to Slide 5, we can see the progress we are making in long term care home redevelopment. As I mentioned earlier, in September, we began construction of a new 256 bed home in St. Catharines under the soon to expire Ontario construction funding subsidy. This new home will replace an existing Extendicare home in the city and add 104 beds to meet growing demand for care. We are working to start construction on two more redevelopment projects before the end of the year in London and Port Stanley, also under the enhanced funding subsidy. The two new homes will comprise a total of 320 beds, replacing 230 Class C beds currently in operation in the two cities. All three of these projects are anticipated to be sold to the Axium joint venture in Q1 2025 with Extendicare retaining our 15% managed interest. During construction of the new homes in the joint venture, our managed services segment earns development fees followed by management fees to operate the homes once they are open. We are also working to open new homes in Kingston and Stittsville over the next two months, both held in the Axium joint venture. We look forward to welcoming residents and their families to their new homes. We anticipate the sale of the vacating Kingston C bed home will close shortly after it's vacated for estimated proceeds of $3.7 million. Finally, we continue to advance planning and design of our 12 remaining redevelopment projects in anticipation that future capital funding programs will become available in the years ahead. At this point, I'll turn it over to David Bacon to discuss our financial results in more detail.
David Bacon: Thanks, Michael. Before I review our consolidated and segmented results for the quarter, I'll provide an update on the new credit facility that we announced last week. As Michael mentioned earlier, on November 8th, we announced the closing of our new 275 million senior secured credit facility, simplify our balance sheet and support our continued growth agenda. The credit facility with an initial term of three years and successive options for one year extensions subject to customary conditions and lender approval provides for up to $145 million under a revolving facility that replaces our former demand facilities and is available for general corporate purposes, including capital expenditures and acquisitions. The facility also provides a $130 million delayed draw facility that we are using to redeem our $126.5 million convertible debentures in full on December 16, 2024, which we announced yesterday. Concurrent with the closing of our new credit facility, we also used cash on hand to repay in full approximately $30 million in lease liabilities related to nine Ontario Class A long term care homes that carried an average interest rate of between 6.4% and 7.2%. Our new credit facility provides us with added flexibility as we consider capital allocation decisions. And when combined with our strong operating results, healthy debt metrics and our partnership with Axium, will support our continued growth objectives. Turning to our operating results for the quarter. Our consolidated Q3 revenue increased by 11.3% to $359.1 million, driven by LTC funding increases, growth in home care volumes and increased billing rates and growth in our managed services. Our Q3 results were also impacted by favorable out of period long term care funding of $1.8 million related to Alberta and Manitoba funding increases retroactive to April 1st. Excluding this out of period revenue recognized in the quarter, our NOI improved by $13.1 million to $48.3 million, reflecting our revenue growth across all our segments, partially offset by higher operating costs. Our reported adjusted EBITDA for Q3 increased by $15.3 million or 73.8%. Excluding the impact of out of period LTC funding, adjusted EBITDA increased by $13.5 million or 64.9%, reflecting the improvement in adjusted NOI and lower administrative costs. Our AFFO per basic share in Q3 doubled to $0.28 from $0.14 in the same period last year. When adjusted for the out of period LTC funding, AFFO per share increased year-over-year by $0.12 to $0.26. Turning to our individual segment, starting with long-term care. As mentioned, our Q3 results reflected funding increases for both Alberta and Manitoba, including government funding to reflect changes in acuity levels and an increase in direct hours of care as well as partially addressing inflationary pressures on operating costs. These enhancements represent incremental annual revenue of approximately $11.1 million. As noted, the increase was retroactive to April 1, 2024, resulting in $1.8 million of out of period funding recognized this quarter. Excluding this out of period funding, our revenue increased by $8.3 million, driven by the funding increases, timing of spend and our improved occupancy, while NOI increased by $6.2 million, driven by increases in revenue, partially offset by higher operating costs. Corresponding NOI margins increased to 11.4% in the quarter from 8.7% last year. Long term care continues to benefit from additional funding announced in the year that has helped address inflationary pressures on our operating costs. Alongside the benefit of using fewer agency staff, particularly in Western Canada, our cost structure continued to improve this quarter, allowing us to return to our historical NOI levels. Turning now to our home health care segment, revenue in the third quarter increased by $20.3 million or 17.2%, driven by the 10.2% year-over-year growth in volumes and supported by our billing rate increases. NOI increased by $4 million to $15.6 million with an NOI margin of 11.3%, an increase of 150 basis points over the same quarter last year. As Michael mentioned, while we did experience the usual seasonal softness in volumes this quarter, the underlying demand growth and the success of our recruiting and retention programs resulted in modest sequential growth from Q2. An additional statutory holiday in Q3 as compared to Q2 negatively impacts our NOI margins by approximately 100 basis points on a sequential basis. Finally, turning to our managed services segment. Growth in NOI and revenue in the quarter reflects continued organic growth in SGP as well as a full quarter contribution from the Rivera and Axium transactions compared to only two months included in Q3 of last year. Our revenue increased by $6.1 million to $18.8 million and our NOI by $2.9 million to $9.9 million with an NOI margin of 52.6% in line with our stated expectations for this segment of between 50% and 55%. With that, I'll pass the call back to Michael for his closing remarks.
Michael Guerriere: Thank you, David. Our third quarter results reflect the earnings potential of our business model enabled by a strong management team focused on execution. Seniors are the fastest growing demographic in Canada and the healthcare system is struggling to meet the overwhelming needs of this group. Extendicare has a key role to play in addressing this challenge ensuring that seniors get the services they need while delivering value to our stakeholders. Meeting this challenge is fueling our redevelopment efforts in long term care. It is driving our continued efforts to increase home care capacity through targeted recruitment, training and retention programs. Finally, it's inspiring innovation across our business to enhance operational efficiency and the quality of care we provide. Leveraging our strategic partnerships, continued government support and the strength of our balance sheet, we are confident that we can meet the challenge before us. People are at the heart of our business. Our team members come to work every day united in their desire to help people live better. We are deeply grateful for their unwavering commitment to care and the passion that they bring to work every day. So with that, we're happy to take any questions that you might have.
Operator: [Operator Instructions] The first question will come from Pammi Bir with RBC Capital Markets.
Pammi Bir: Just on long term care, I think last quarter, we talked about an NOI run rate of about $75 million. That was before factoring in some of the funding that, I guess, you were expecting to come through from Western Canada. This quarter was particularly strong, even if you strip out that retroactive funding. I think it came in at about $23 million in total on an adjusted basis. So I'm just curious, you mentioned agency costs came in as well. So were there any sort of other unusual amounts in the long term care NOI this quarter or any timing differences at all that might have driven some of that rather large sequential increase?
David Bacon: No, Pammi, there really wasn't. We did isolate the retroactive funding. I think you did sort of hit on it there. I mean we have had a concerted effort to unwind pockets of stubborn agency in Western Canada. And given the way the funding regime and programs work out there, a lot of that benefit goes straight to the bottom line versus where in Ontario some of it gets masked in the envelope. So there isn't anything unusual in Q3. So think around the $22 million when you back that out is, I think, a good number from our perspective if you think about that going forward.
Pammi Bir: So going from, call it, $75 million in terms of the NOI run rate last quarter to like close to $90 million?
David Bacon: Well, like I said, I think closer to $22 million. But I would remind you, though, too, we are -- we have two new homes opening later this year in the next couple of months. So the NOI from a couple of homes, the two homes we're opening, will drop out for next year, but that's replaced in part with management fees on the managed service side coming out of the JV.
Pammi Bir: Just looking at it from a capital allocation standpoint, you picked up those -- the nine Class A homes in terms of just paying out the remaining lease liabilities there. But how are you thinking about additional acquisition opportunities, whether it's in long term care or home health care, or is the focus at this point predominantly on the redevelopment program?
Michael Guerriere: Well, we think there are some opportunities in the market, Pammi, that we've been looking at those. Over the last couple of years, we've been very selective in what we're prepared to do. But I think we would potentially entertain some acquisitions as long as they are very consistent with our current business model, very consistent with our current level of performance. So I think we will continue to be opportunistic in that regard.
Pammi Bir: And David, was that -- Michael, was that on the -- specific to long term care or also possibly something on the home healthcare side?
Michael Guerriere: I think in all three lines of business, we would be considering potential acquisitions. I mean we've invested a lot in our technology platforms, in our business processes. So we believe we've got a very scalable business model at this point. So acquisitions that fit neatly into our current three lines of business, I think, would be welcome as they would probably add operating leverage to the business.
Operator: The next question will come from Golden Halfyard with TD Securities.
Golden Halfyard: Just one question from me on home healthcare, it looks like volumes, they remain strong year-over-year at around that 10% plus mark the last couple of quarters. I just wanted to ask your outlook on this growth going forward and maybe how you see this trending?
David Bacon: Yes, I think what we've said in the past, we've enjoyed robust growth eight quarters in a row now of strong growth. I do think there's still some runway left for us to grow above the sort of longer term demographic outlook. I think we've spoken in the past about growing 4% or 5% in the demographic. And we think for the short, medium term, we can outperform that. So I do think we can outperform that going into next year. But we're not giving any specific guidance on growth but I do think we'll be above the sort of long term 4% and 5% for next year, which is what we've said before.
Operator: [Operator Instructions] And this will conclude our question-and-answer session. I would like to turn the conference back over to Ms. Jillian Fountain for any closing remarks. Please go ahead, ma'am.
Jillian Fountain: Thank you, operator. That concludes our call for today. This presentation is available on our Web site as are the call-in numbers for an archived recording. Thank you, everyone, for joining us. And please don't hesitate to contact Investor Relations if you have any questions.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for your participation, and have a pleasant day.